Operator: Good day. And welcome to the Corteva, Third Quarter Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jeff Rudolph, Director of Investor Relations. Please go ahead.
Jeff Rudolph: Good morning. And welcome to Corteva's Third Quarter 2021 earnings conference call. Our prepared remarks today will begin with introductory remarks by Chuck Magro, Corteva 's newly appointed Chief Executive Officer, followed by an overview of the quarter and year-to-date financials from Dave Anderson, Executive Vice President and Chief Financial Officer. Additionally, Tim Glenn, Executive Vice President and Chief Commercial Officer, And Rajan Gajaria, Executive Vice President of Business platforms will the join the Q&A session. We've prepared presentation slides to supplemental remarks during the call, which are posted on the Investor Relations section of the Corteva website.  And through the link to our webcast. During this call we will make forward-looking statements, which are our expectations for statements about the future. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. Our actual results could materially differ from these statements due to these risks and uncertainties, including but not limited to those discussed on this call. And the risk factors section of our reports filed with the Securities and Exchange Commission, we do not undertake any duty to update any forward-looking statement. On our Investor Relations website, you can find our earnings press release, and related schedules along with our supplemental financial summary slide deck, which is intended to supplement our prepared remarks for today's call. These items provide a reconciliation of differences between reported GAAP and non-GAAP financial measures and should not be considered a substitute to the measures of financial performance prepared in accordance with GAAP. It is now my pleasure to turn the call over to Corteva, Chief Executive Officer, Chuck Magro.
Chuck Magro: Thanks, Jeff. And thank you to all those joining us on the call and webcast today. I'm honored to be speaking with you after having spent the last several days getting to know the team. Before I provide some early perspective, let me first say thank you to Jim Collins, who is guiding me through the transition over the next several weeks. I have known Jim for a very long time and it is a privilege to build on the strong foundation he laid for long-term growth at Corteva, with culture and innovation at its core.  Now I recognize it's only day 4, so Dave will walk you through the quarterly results in the full-year outlook. But it's important for me to first share some thoughts on why I believe that this is an unparalleled opportunity to lead at Corteva. Starting first with the strength of the franchise, which I believe is an industry leader in terms of balance and differentiation. In my experience in this industry, I always admired and respected how Corteva worked so closely with farmers to consistently provide best-in-class technology to drive value.  And further the breadth and depth of Corteva portfolio is impressive as it scale reaches all parts of the globe in a competitively advantaged way. This is why I believe when combined with strong execution, Corteva can be the industry leader for years to come, which brings me to my second point, operational performance. This quarter's results attest to what this team has built at Corteva.  A commitment to operational excellence and efficiency has kept the Company's supply chains open in the midst of ongoing disruptions. And a culture focused on delivering for customers and keeping each other safe has kept the organization on track, meeting its commitments. This is another quarter of revenue and earnings growth, which are a direct result of the strong foundation this team has built over the past 2.5 years. Over the past few days, I've spent a lot of time listening to and learning from my team.  And I can already say this team is fully equipped to deliver on what we all know this Company is capable of. From the expertise of our commercial and operations teams to the deep capabilities of our R&D organization. It is abundantly clear to me that through the combination of the Company's strong culture and organizational strengths, we are well-positioned to capitalize on the opportunities that lie ahead. To summarize, tremendous assets, operational performance, and an excellent team, early a few things I am really excited about and what attracted me to this opportunity. I understand your expectations and I am confident we will deliver.  We have the IP, the commitment to operational excellence. And the customer relationships necessary to deliver long-term solutions to global issues, while serving the best interest of our shareholders. We will always continue to deliver innovative and productive solutions for farmers, expand opportunities for our employees, and build long-term value for our shareholders, all with sustainability as a priority. And with that, let me now turn it over to Dave, to take you through the results and the updates to our guidance.
Dave Anderson: Thanks Chuck, and behalf of the Corteva team, I want to say we're all very excited to have Chuck join us at this time. It's a terrific position for the Company and we've got tremendous value that we can deliver. I want to welcome everybody also to the call. Let's start on Slide 5, which shows our financial results for the quarter and also year-to-date. Starting on the left side of the chart, you can see it was another solid 3 months of continued growth and margin improvement. Compared to the prior year, we delivered 24% organic growth gains in both seed and crop protection, led by Latin America and North America. In the quarter, we saw accelerated demand from customers, particularly in Latin America which translated into an estimated a $100 million in sales in the quarter that was previously forecasted in the fourth quarter. Looking at earnings, we delivered seasonal loss of $51 million of operating EBITDA in the quarter, which is an improvement of greater than a $120 million compared to the prior year. Turning to the year-to-date results, organic sales were up 9% to just over $12 billion. The growth was led by continued demand for new products, driving more than $330 million in growth from new crop protection products. Seeds sales improved on increased planted area in U.S. soybeans and also strong demand for corn in Latin America. EBITDA of $2.31 billion year-to-date, up 25% compared to the same period last year. And year-to-date pricing coupled with volume gains, more than offset cost headwinds, driving nearly 220 basis points of margin improvement compared to prior year. And this is particularly impressive given the challenges we're seeing in global supply chains and the cost inflation we continue to face. And we believe it's a clear differentiator for Corteva. Let's go then to Slide 6, with more detail on our global sales growth, here you can see the balance and diversity of the global business in the results.  In North America, organic sales were up 5% through the first 3 quarters. Seed sales benefited from increased planted area for both corn and soybeans, as well as the continued penetration of Enlist E3 soybeans. Consistent with last quarter, Enlist E3 represents about 35% of the U.S. soybean market in 2021. Feedback from growers on performance to this point is quite positive. Corn price was up 2% or soybean prices were down 3% as we continue to see competitive pressure in that market.  North America crop protection delivered year-to-date organic sales of 10%, demand for new technologies, including Enlist Herbicide remained strong herbicide and fungicide growth were both up double-digits. Price increased 3% through the third quarter on price execution in response to rising input costs, including raw materials, freight and logistics. In Europe, Middle East, and Africa we had strong organic sales growth of 7% resulting from price execution in record sunflower seed volumes. This growth was muted by an approximate $80 million to $100 million sales impact from corn supply shortages in '21.  In crop protection the portfolio of new and differentiated products remain in high demand, including technologies such as Arylex herbicide and Zorvec fungicide, which enabled us to drive price, volume and gain market share in Europe, despite the impact of discontinued products. In Latin America, we realized 27% organic sales growth on strong volumes in price gains, driven by execution on our price for value strategy, coupled with increases to offset rising input costs. In seed volumes grew 16% driven by market share gains in Brazil, safrinha in earlier shipments for the Brazil summer season.  In crop protection, volumes grew 18% on significant demand for new and differentiated technologies, such as ISEH class and Jemvelva insecticides. In Asia-Pacific, we delivered 7% organic sales growth compared to prior year, with both volume and pricing gains. Seed volumes were down largely due to COVID, related demand impacts, particularly in Southeast Asia, in India. Crop protection, organic growth of 11% was led by continued demand for new products, including [Indiscernible] herbicide, and also Paraoxon insecticide.  Let's move now to Slide 7 for a detailed review of our operating EBITDA performance through the third quarter. Through the first 9 months, operating EBITDA grew more than $460 million to approximately $2.3 billion. This was driven by strong organic growth with combined price and volume benefits of more than $600 million. As we continue to benefit from new and differentiated products against a strong market backdrop. We recognized pricing gains in both segments in all regions during the period. Global corn price was up 4% year-to-date, demonstrating the value that we bring to customers.  Sales of new crop protection products grew more than $330 million versus the prior year and price increased 4% for the segment, which helped offset higher raw material and logistics costs. With respect increased costs, we recognized roughly $350 million of market-driven cost headwinds year-to-date, as well as $70 million of increased compensation costs and investment spend to support growth. This was partially offset by approximately $200 million in productivity initiatives resulting in a net cost headwind of $220 million through the first 3 quarters.  Very importantly, disciplined execution while managing through complex supply chain dynamics, translated into more than 200 basis points improvement in operating EBITDA margin through the first 9 months of the year. Again, a clear differentiator. Let's go down to Slide 8, where I would like to discuss the current state of the global supply chain. Like other companies and obviously various industries, we continue to face supply chain challenges and cost inflation. And to reiterate the theme we discussed at the end of the second quarter. We believe these challenges will continue through 2022.  We've seen the cost of some of our key raw materials and co-formulas increase more than 20% in the past year, driving expected overall cost inflation to low, to mid-single-digits as a percent of our cost of sales. In addition to longer shipping times, we've also experienced additional downtime from supply constraints. Impart due to the more than 60 [Indiscernible] declared directly from suppliers, or indirectly from other raw material suppliers.  Now to help offset the impact of inflated in input costs, we're utilizing operational levers such as pricing in very focused productivity initiatives. As an example, on October 1st, we announced one average mid-single-digit price increases in the U.S. on the majority of our Crop Protection products, this includes externally source polite to say, where we expect our pricing will be up approximately $90 million for the full year.  Now, just for context [Indiscernible] sales represent less than 5% of our total annual crop protection sales but the inflation impact has been significant. With this backdrop, it's impressive that we're achieving attractive performance measured by on-time delivery to customer request. The agility and flexibility that our teams are demonstrating has enabled us to capitalize on evolving market conditions, including increased demand for both seed and crop protection products.  With that, let's go to Slide 9. I'd like to provide the update on our full-year 2021 outlook. We're raising our full-year revenue guidance, We now expect reported net sales in the range of $15.5 to $15.7 billion, up 10 at the midpoint over 2020. We feel confident in this growth based on strong market fundamentals, continued demand for new and differentiated products globally in both crop protection and seed segments, and price execution in all regions coupled with pricing for higher input costs. They're mostly as a result of market-driven factors mentioned earlier, we're raising our estimate for full-year costs by 100 million for the year, per top -- predominantly in crop protection. We're now expecting a total increase of $475 million versus prior year. In addition to these headwinds, we also expect increased SG&A and R&D costs of about $50 million, which includes spend for increased compensation, as well as investment spent to support growth. Importantly, we're reaffirming and firming the full-year expectation to deliver operating EBITDA in the range of $2.5 to $2.6 billion for the year.  And improvement of 22% over 2020 at the midpoint. This translates to approximately a 150-basis points of margin expansion for the full year. And lastly, we're now forecasting a base tax rate in the range of 18% to 20%. coupled with a lower average share price count due to our share repurchase activity, we have increased our operating EPS guidance to a range of $2.05 to $2.15 per share for the year. Let's now -- let's go to slide 10 and focus on 2022. As you can see on slide 10, we've given you our initial planning framework and you recall that we shared this with you last quarter.  It's intended as a reminder of the key assumptions as we frame out the '22 plan, including organic revenue growth, seed pricing versus commodity costs, strong penetration of new products, royalty cost improvement, and continued cost inflation, partially offset by productivity initiatives. Importantly, this is all with the backdrop of continued strong market outlook, and solid grower economics, which will drive customer demand in 2022. Turning to Slide 11, aligning with our midterm EBITDA target range for 2022. On the left of Slide 11, we've shown you at a high level, the bridge from our 2021 operating EBITDA guide to the EBITDA range implied by our mid-term targets.  Now let's go to the right side and cover a few of these key points. Market fundamentals remain positive in our early views are that use corn and soy acres will be approximately $180 million in total with a slight shift to soy, based on relative economics at this time. Outside of the U.S., market growth looks strong in markets like Brazil where planted areas expected to increase 4 to 5%. In terms of organic growth, we expect that the global seed portfolio will continue to deliver on our price for value strategy.  Where we expect 2022 pricing to be an excess of estimated seed costs headwinds from higher commodity prices. Crop protection, new and differentiated products, including Arylex and Enlist Herbicide, and Isoclast Insecticide will be a primary driver in delivering above-market in that segment. Turning to our early assumptions on costs, we've increased our estimate of seed commodity price impacts and expect to see seed cost increases in the range of $250 to $300 million, largely driven by North America and Latin America. As I mentioned earlier, we expect seed pricing to outpace these costs in 2022. In crop protection, market-driven inflation will continue through 2022 and we expect cost headwinds of at least $150 million. This includes the impact of the sell-through of inventory and continued cost inflation as a result of the supply chain conditions, we've already discussed. It's too early to comment on when we think costs will level off. However, we will be using operational levers, such as pricing and productivity initiatives to mitigate cost headwinds.  This provides additional transparency into our preliminary planning for 2022 and how that bridges to our midterm target EBITDA range. Put simply, price and volume will be critical to earnings and margin growth against the backdrop of strong customer demand and also continued cost and supply chain challenges. We will be providing more specifics during our fourth quarter earnings call in early February and communicating the full '22 guidance at that time. With that, I will now turn the call back over to Jeff.
Jeff Rudolph: Thanks, Dave. Now, let's move onto your questions. I would like to remind you that our cautions on forward-looking statements and non-GAAP measures apply to both our prepared remarks and the following Q&A. Operator, please provide the Q&A instructions.
Operator: Thank you. [Operator Instructions] We ask that you please limit yourself to one question. [Operator Instructions]. We'll take our first question from Vincent Andrews with Morgan Stanley.
Vincent Andrews : Thank you. And good morning, everyone and nice to chat with you again, Chuck. Just curious.
Vincent Andrews : Chuck, you have a very unique vantage point on this coming from coming from nutrient and obviously being one of the largest agri retailers and you competed with Corteva on the seed side of the equation. You had level end and you competed with everybody on your proprietary products over there. So, you highlighted everything that you thought was the strengths of the Company, but where do you come into this with from the outside as a prior competitor thinking that there's some things that you need to firm up or some things that could be done a bit better that differently or were some blind spots are that you need advantage point on that you come into the organization and really hit the ground running with?
Dave Anderson : Yes. Thanks for the question Vincent. And it's good to talk to you again. So, first of all, what I'd say is I'm really excited to be joining such a great Company and an awesome management team. You're right. So, I know Corteva. I know Corteva because they were a top tier supplier to the nutrient. And what I'd say to you though is in the last couple of days I've spent time with the Board of Directors, a lot of time with my team. And I have seen some of the operations already in just a short period of time, and certainly everything that I've seen is exceeding my expectations. So, my early impressions are extremely positive. I've had a good look at some of the elements of our technology pipeline. Obviously, I'm able to see it from a unique vantage point now. So, I had a peek under the hood and I will say that there is a growth engine here, a very impressive growth engine. The manufacturing footprint, when I look at it, probably the last 2 quarters have been the hardest in our industry in many, many years. And our supply chain is holding up with quite a bit of resiliency and that's because of the diversity that I've certainly seen. There will be focused areas of course, that I will start to talk to the team about.  But it is only day 4 for me, so I just want to say that I'm excited to be here and some of the areas that I'm going to work with the team on just to give you a sort of a flavor. Of course, our customers we're going to put them first. This Company has already done that but we have a unique set of advantages and core competencies with our technology and our supply chain and everything we do; we're going to put our customers first. Second is sustainability, climate change, reduction of acreage, things that really drive yields and improve performance for farmers. These are things that I think Corteva is uniquely positioned to, is to really drive the sustainability agenda for agricultural farming around the world.
Chuck Magro : And then finally, we have some commitments out there. We're going to deliver on those commitments. So, the execution of the strategic plan will become a very top priority. And if you've heard me talk before, I'm a very big believer in controlling what we can control. And that we really want to be known as the best operator in the industry. Because I think that that really complements our technology platform. So hopefully that gives you a bit of color of some of the initial impressions in some of the things that the Corteva team was already talking about, but will be of interest to me as well as I integrate myself with this wonderful team.
Operator: We will go to our next question from Joel Jackson with BMO Capital Markets.
Joel Jackson : Hey, Chuck. Chuck, we think the Chinese product contract is going to sell out. No, I'm just kidding. But seriously, you've moved from one part of the industry to another part of the industry. And you put out this slide deck on day 3 on the job, fair enough. But I want to know these are targets at Corteva had for some time for 2022, you call them initial planning framework, cleaning and planning framework would ever want to call them.  But Chuck, you're probably going to be judged on whether you hit these numbers next year. And so, I have to believe you must have had a lot of comfort level that you can hit at least the midpoint of its guidance range with maybe some cushion above it to want to own these numbers. Can you specifically as possible talk about that and your confidence that you can hit those numbers?
Chuck Magro : Fair, Joel. Nice to hear your voice again. Look, so the management -- I have confidence in the management team. I'll tell you that right now. The team did reaffirm the outlook, I was certainly involved in that. And I will tell you that there is a lot of focus across the Company throughout the world on those -- on the outlook numbers. And it is only day 4, I'll just remind you. I will plan to dig in on the fundamental assumptions from the ground up. Obviously, I haven't had time to do that, but I will say a couple of things. There is a lot of potential in this Company. There a lot of catalyst and leavers that are within the management teams control and that they are highly focused on, which will drive long-term value creation for shareholders. The other thing is look, we believe that the agricultural backdrop is still going to be quite positive as we enter 2022, we've got good planted acreage we expect in corn and soybeans next year, we're going to see increased acreage in Brazil.  I think that when we look at farmer economics, they are still very constructive. Your potash question, I'm going to keep to the side. But overall, we think that the backdrop for the egg markets are quite positive. And then if you look at what Corteva can do within it to control in terms of price,
Vincent Andrews : new products, extension of its channel strategy. These are all things that the management team is highly focused on, and when you add it all up, that's why we felt it was important to at least put the outlook numbers out there. And just to reiterate, I will look into it in a lot more detail, but I have confidence in this management team.
Operator: Our next question from P.J. Juvekar with Citi.
Patrick Cunningham : Hi, this is Patrick Cunningham on for P.J. Good morning, everyone. You mentioned growth from biological. And Chuck, you briefly touched on our growth engine. You mentioned 17 new launches in '21 and '22, how big is this business for you? And where do you think it could go in 5 years?
Chuck Magro : Yes. Hi, Patrick. So, look, I'm going to have Rajan on talk to that because he will give you the details. From my vantage points obviously, we have some very unique technology in this area. It is a market that is growing. It's becoming more and more important when you think about it through a sustainability lens. It's quite an interesting market, but it requires unique science and technology to really deliver for customers. And I think Corteva is going to be a real winner in this area, and maybe Rajan you can talk about the specifics.
Rajan Gajaria : Sure, Chuck and thank you for the question, Patrick, when we think about the opportunities in the biologics business, the first message I want to leave with you is, we see this as an indicatively with the rest of our crop protection business. So, I think that the strength of our Crop Protection franchise, coupled with very, we're headed with biologics is the reason for our optimism. A strategy I would say, I will explain 3 prongs to it. The first part is in licensing very unique technology.  And our team has worked to get more than ten of these signed up in the last 12 months where a lot of our optimism is coming from. And these are global companies from Israel, France, Brazil, Spain, to name a few. Very strong in-licensing. The second thing we are working on is we've got a very strong commercial organization, which I know you are familiar with. We're working to build capabilities within our commercial organizations, supply chain, formulation and packaging.  And last but not the least, R&D to continue to supplement the in-licensing technologies that we get. And with that Jeff onboard now we will continue to explore opportunities to have bolt-on acquisitions with the support from the board to see how we can further accelerate. So really very exciting space for us, we do have a very strong franchise in the natural products that you're familiar with, the spin-off and franchises already more than $800 million. We are familiar with this space and really looking forward to seeing how further launches will help but continue to accelerate the growth.
Operator: We'll go to our next question from Kevin McCarthy with Vertical Research Partners.
Kevin Mccarthy : Yes. Good morning. And congratulations to you, Chuck. A couple of questions. First on the financial side, you increased your free cash flow guidance $300 million on the low-end to $550 million. Can you talk through the drivers of that presumably working capital played a role and I'd be interested to know how much you view as structural versus transitory. And then secondly, on the fundamental side, one of your competitors has been quite vocal about short stature corn. Be interested to hear your thoughts on that subject and whether that might play a role for Corteva in the future.
Chuck Magro : Kevin. Dave can take the question on cash and Rajan then we'll follow up with short stature corn. Go ahead, Dave.
Dave Anderson : Good. Yeah. So, Kevin, thanks very much. Good morning. So, on the cash flow, you'll recall, you may have referenced the previous cash map operation slide that we had or guide rather that we had of 12 to 16. We're now at 17 to 19. So reflects a couple of things, I think number 1, as you know, we have focused a lot on basic operational disciplines around [Indiscernible] cash and particularly on working capital. So, there's a portion of this, back to your structural, it's really related to that in both --
Patrick Cunningham : receivables and also in our payables area. Those are 2 areas we've really been working on and deploying talent and the right disciplines and systems to support that, so those are important contributors. We've also increased the amount of prepaid assumption just in terms of the liquidity that our customers have. And just what we're seeing already in terms of cash coming in related to that. So, you could say that it's more -- call it temporary as opposed to structural. We've also got some improvement in terms of net income with the lower tax rate that we've guided to. And that's part of, as you know, our EPS
Dave Anderson : guide increase also reflects a little bit more on the EPS front reflects some a little bit lower share count compared to what we had in there previously. Given the strength of our share buyback program. So that's really it in a nutshell. And so, to distribution to your point in terms of structural and more temporary. But the structural part is very, very important in terms of what we're going to be able to deliver. We feel confident in that updated guide. And that's obviously very supportive of our shareholder value objectives. And then the second part of that?
Rajan Gajaria : Sure. I'll take that. Kelvin, good morning. This is Rajan. Kevin, thank you for your question on short nature of [Indiscernible] when you think about the whole of breeding engine that Corteva has, as you know, Corteva has the best jump blossom. In the world. The whole pool of jump blossom that we have, is something that we continue to build on. Innovation and expenditures that we have on breeding is the strongest investment that we make in our seed business. There is multiple tools that we have in the breeding area.  Short stature gone is definitely one of the areas that We have focused on, but not limited to. We have a very strong history of growing the yield improvements that it's 1.5 to 2% year-over-year of not only getting the yield improvements, but also extracting value from that. Looking forward to sharing some more details with you in some future innovation Dave, but Chuck [Indiscernible] is on the list of things that we continue to innovate it. And we're looking forward to sharing the progress.
Operator: Go to our next question from David Begleiter with Deutsche Bank.
David Begleiter : Good morning. And Chuck congrats as well on the new role. Just 2 quick questions. First Chuck, what's your view on the [Indiscernible] pricing pressure you're seeing and the Company's strategy to deal with that pressure? And maybe would you, Dave, just on the Crop Protection pricing. How sustainable or are these prices if [Indiscernible] do moderate or rollover? Thank you very much.
Vincent Andrews : Thanks, David, so I've always been impressed with as a customer with Corteva seed technology. We are seeing very solid demand in corn and soybeans really strong demand in line with our expectations for the Enlist lineup. And Tim can take the specifics around the pricing. So, go ahead, Tim.
Tim Glenn : Yes. Thanks. David, good question. So, on soybean market, we've been talking about this for a number of years, the markets have been competitive and they remain very competitive. But I think when you look at where we're at, we've got -- we've had very good momentum. And I'll speak on a global standpoint, from a seed standpoint, we've been able to capture about 3% year-to-date globally on seeds and in some segments, even more like corn, where we were about 4% global year-to-date.  We have launched our pricing in most of the Northern Hemisphere including soybeans, and consistent with the past, we are taking the leadership position in terms of capturing value for our strong product performance. And as always, it's a strong -- it's a very competitive marketplace, no doubt about it. And we will -- we're going to continue to execute against our strong value proposition. We have a strong, disciplined organization in terms of managing our pricing process and the feedback on our products.  We're in the middle of harvest still, But feedback on product performance has been very good from a genetic standpoint. And the demand for E3 platform is extremely strong. So, we're feeling good about where we sit. And as always, we'll deal with the competition. When you think about CP pricing and where we're at there, we've been working hard to build a strong execution capability on pricing there as well. And throughout the year, we've been very proactive to ensure that we're capturing value for our technology and also helping to mitigate the inflationary pressures that are out there.  And I would say that we've been I think on the leading edge from an industry standpoint, probably first-mover as soon as the first quarter of this year in terms of repricing to try to manage to those escalating prices. For commodity products like glyphosate, that's very dynamic. And we're going to continue to price that on an ongoing basis. And really focus on ensuring that we offset all the inflationary cost pressures that we're seeing there. Excluding glyphosate, we've been able to capture about 3% year-to-date on across our crop protection portfolio.  In some categories, on our most differentiated products like the [Indiscernible] were up about 8% year-to-date, which is really outstanding. And we're going to be proactive. We are going to be strategic as we wrap up 2021. And then as we set the stage for 2022, we've already implemented pricing for most of the Northern Hemisphere in 2022. And again, our expectation, as Dave said earlier, that we've implemented roughly mid-single-digit pricing across most of our portfolio in North America. And we're going to continue to focus on that, continued to remain very disciplined. And obviously, as we work through and deal with more pressures, we're going to continue to offset those as they come forward.
Operator: We'll take our next question from Chris Parkinson with Mizuho.
Chris Parkinson : Great. Thank you very much. And Chuck good to have you back. As we head into '22, you just said are a little bit on this. But could you just further comments on regional CP pricing. The potential for incremental contributions for new product volume after a strong 21 performance thus far. And then also just spin-offs and momentum. So just any regional color I would be appreciated on this factors. Thank you so much.
Dave Anderson : Yeah. I'll jump in there and talked about that in, and obviously our markets are very local. So, when we talk about CP pricing, I'll talk about it in aggregate basis and we report it in an aggregate basis, but we are pricing locally. It's based off individual product formulations and what their fit is in the marketplace. And our teams are focused on ensuring that we are as locally competitive, understanding that we've got these global headwinds that we're constantly dealing with. So, we are going to be dynamic.  And most of the world's, I'd say isn't such a driver of price. So, it is our differentiated products that our teams are focused on. And when we talk about that 3% year-to-date price increase, and when we talk about the mid-single-digit price increase that we've already implemented in the Northern Hemisphere for next year. That is across our new and differentiated products as well. So, it's something that we're going to continue to focus on. We will execute that locally knowing that we've got these global headwinds that we're dealing with.  And in terms of the contribution from new products going forward, it's been a huge part of what's helped us continue to perform above-market on the crop protection side. And in most parts of the world and will be again in 2022. So, we've got a robust pipeline. We've got great new products like Isoclast and Arylex and Zorvec, which are continuing to accelerate their growth pattern. We continue to get new registrations literally every month -- we're getting new registrations and so new products will be a very important part of our 2022 plan.
Operator: Our next question from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas : Hi, good morning. It's [Indiscernible] for Jeff. How are you?
Dave Anderson : Good, thank you.
Jeff Zekauskas : I was wondering if you can speak about the [Indiscernible], the E3 being launched in Brazil like that holler ramp up of that might look like. I guess probably very small for the additional growing season, but I was running if you look 2 or 3 years out. How many acres do you think you might achieve? And secondly, I was wondering, I can also like one more time as cost price issue for 2022.  So, in general, like the outlook that you have for 2022, to me doesn't look that [Indiscernible] Like if you can have with its 3 or 4 or 5% price increases on sales of 15 and a half billion, like that should offset what were all of your costs. And so, having EBITDA growth in 2022 shouldn't be that difficult despite all of the cost headwinds. What do you see a different than that? Because I see a much more optimistic than I hear in your voice. Thanks.
Dave Anderson : So, 2 parts of that. Do you want to -- do you want to go first?
Tim Glenn : Sure. I'll jump really quickly on the Zekauskas questions. So obviously. We were very excited in August when we were able to announce that we received authorization from the European Union that enabled grain from Conkesta E3 to be exported for food and feed use. So as a result, we have a limited launch of Conkesta E3 right now in Brazil. Farmers are able to plant product for the 2021, '22 season, so it's an important step forward. What I would reinforce though is it's really not a meaningful financial impact as we look at '21 or '22 as we are working on ramping up production,
Jeff Rudolph : building out our lineup, and ultimately, we've got to go out there and getting customer support, and drive adoption of the technology. So over time, no doubt this technology is going to drive incremental growth for us. It's going to greatly enhance our competitive position in the Latin America soybean market, which is important for us and we're excited to bring new choice to the marketplace.  And the marketplace is excited to have a new choice in terms of technology as well. And then overtime, we are also going to introduce this in other markets, such as Argentina, Paraguay, and Uruguay. So, it is something very important. We have not sized what we see the adoption rate as at this point in time, but understand it's a limited launch and it really is about establishing that technology and gaining support from our customers.
David Begleiter : Zekauskas, good morning. This is Dave, I will take the second part of that related to 2022. As you said, and Chuck, really, I think articulated it well. It's really constructive setup when you look at 2022 with the backdrop of our markets. And the strength of what we're bringing, continue to bring to the market. And as you said, on price, we continue to execute against our strategy of pricing. Both Rajan and Tim have spoken about that, spoken to some of the specifics. And again, specifically for 2022 related to seed, we expect global pricing to be accretive to earnings after the impact of
Dave Anderson : higher cost of goods sold. And by the way, again, just emphasize, we've increased that seed cost of goods sold in the range of $250 to $300 million now, so that's very important. And on crop, we expect to continue the momentum we've seen in 2021. But very importantly as 2 really important things here, number 1 is the market-driven inflation in logistics costs. Again, I'm going to just underscore that we anticipate to be at least a $150 million and we've seen this progression over the course of 2021, obviously. And we expect supply chain challenges to continue just to underscore that through 2022. So, these are some of what we see is sort of the balance against that constructive backdrop. And the strength of what we're bringing to the marketplace, and our ability to continue to drive, if you will value pricing in the marketplace. So, we're going to get into those details. As I said, when we release our fourth quarter earnings, 2021 will provide more specific guide. But it's really call it down the middle there in terms of the set of positives and constructive setup, what we're bringing to the table. And then this, if you will inflation impacts that we're seeing in the very dynamic nature of that. So, we appreciate your question, look forward to that uptake when we can provide more details.
Operator: We'll take our next question from Steve Byrne with Bank of America.
Steve Byrne : Thank you. Got a follow-up for you, Tim, and that is about your seed orders for 2022 in the U.S. Where would you position them that right now? Are you close to having half of those orders in given where we are in the harvest? And any trends that you can comment on whether there is a mix shift in germplasm or trades, or perhaps even a mix shift in acreage between corn and soybeans.
Tim Glenn : Yes. Thanks, Steve. And where we're sitting right now is, I would characterize this as kind of the middle part of our booking season in North America. We go out and see customers, call it September 1st, more or less, is when we begin to move in the marketplace and that booking period really extends through the end of the calendar year. And so, we will expect by that time to have the majority, nearly all of our order position in place by the end of the year. We're in that middle position right now.  And I'd say that orders are tracking well with where we would expect to be right now for both corn and soybeans. In terms of technology shifts, If anything, I would say that Enlist E3 demand on the pioneer side is running a little bit stronger than maybe what we had originally planned as we came into the year. In terms of the acre mix between corn and soy. I think it's very preliminary and way too early to make a call based off of our orders.  Right now, customers are going to go through the next several months and really have to figure out on an individual basis what, what their crop mix will be. And Dave made the comments about where we see the market going into next year, roughly a 180 million planted acres between corn and soy in the U.S. that's there. And right now, when you look at the corn soy ratio, it's about 2 to 7, which isn't so, which is actually pretty neutral I'd say on a year-over-year basis, but it feels like the economics are saying that we could trend a little bit more towards soybeans in terms of that 180 mix than last year, can't call it off the order position.  I'd say the corn technology mixers consistent with what we would expect it to be. Farmers have been planting high-technology seeds and continue to want to do that. And really, I'd say where we sit today really supports what Chuck and Dave already talked about in terms of our setup for 22% in terms of good healthy markets and also very strong demand for our technologies.
Operator: We'll take our next question from John Roberts with UBS.
John Roberts : Thank you. 2 questions on pricing. And welcome back Chuck. On Crop Protection pricing, it ranges from flat in Asia-Pacific to 5% in Latin America. Does that basically track where the new products are having the most impact or is there something else behind the range in pricing, like the bundling rebates would seats.
Tim Glenn : Yeah. John, I'll take. In terms of that element, I would say Latin America clearly has been benefiting from good, strong, healthy economy as well as that impact for new product technology. I don't think you can lay it only on that because actually we've got -- we've had some good technology adoption in Asia-Pacific as well. So good, strong product introductions, it really comes down to where we sit in those local markets and again, we are dealing in very competitive markets and actually on a year-to-date basis, APAC is not flat there are more like 2% year-to-date, so we do have some growth there as well.  So, I would say it's the markets themselves, it's the timing of when we would have executed the sale. And of course, that is very dynamic. Latin America is certainly more weighted towards the second half of the year. And we would have taken more pricing actions. I would say at to help mitigate some of the inflationary pressures that we've seen as the year develop and been able to realize that from a Latin standpoint, but I wouldn't say it's only because of the product mix or anything like that. I think it's -- could be timing and then that local competitive situation that you're facing in those markets.
Operator: We'll now go to our next question from Michael Piken with Cleveland Research.
Michael Piken : Yes. Hi, I was just wondering if you could give us an update in terms of your Enlist platform, in terms of what percentage of your Enlist sales next year are going to come from your own germplasm and how broad, I guess your scope is going to be geographically. I was specifically wondering about the Southern U.S. and that market for unless next year as well. Thanks.
Rajan Gajaria : Thank you, Michael, I'll take that this is a Rajan Gajaria, so first and foremost, just taking a step back, the overall adoption of the Enlist system really continues to meet our expectations the demand at the grower level across the U.S. is really very strong. And as we think about our own jump blossom, we've got a very strong pipeline of new products coming through. Most of them are going to start hitting in '23, '24, but we will start making an impact in 2022.  The germplasm is going to continue to grow within the Corteva germplasm as the trade gets integrated into our own portfolio. That said, I think the overall adoption is going to be higher than what we had said in 2021. As you know, we had expected about 30% and we grew to more than 35. And looking at the 2022 setup, we continue to see that continuing to grow. Some of the challenges that we have had in the south with dicamba continues to be a challenge of but when we look at the Enlist Herbicide performance of, I think we continue to get encouraged there.  The south is lagging in terms of adoption. But as we continue to work on the different varieties, how they're available, and we talk about the dicamba challenges. I'm very optimistic that we will be able to make some progress there too. The bigger issue in the South as I'm sure you're familiar, Michael is more about the entrenched dicamba capabilities that harvest. And as we work through some of those things, I think we will get to where we need to relate it to Enlist adoption.
Operator: We'll go to our next question from Arun Viswanathan with RBC Capital Markets. And Arun, your line is open. Please check your mute button. Due to no response, we'll take our next question from Frank Mitsch with Fermium Research.
Frank Mitsch : Yes. Good morning. Congratulations, Chuck. Good to speak with you again, looking forward to seeing you on Monday. You mentioned that your second priority was on the sustainability front and during the quarter. Corteva announced that their day-to-day carbon capture initiatives joint venture with Indigo. And I was wondering if perhaps someone on the team can talk about what the financial ramifications of this are? How does it fit into your current product offerings and any sort of initial feedback that you've received from this?
Rajan Gajaria : Hi Frank. This is Rajan, I'll take that. I believe this is related to the whole value capture from a carbon perspective, but we're really excited about the relationship that we have gotten within Indigo. We had a pilot program plan for getting 200,000 acres this year. And we are going to exceed that. But as you think about sustainability and as we think about ways the whole value proposition for farmers is going to go. It's too early to say this is what the price of carbon is going to be. And that really is going to be one of the biggest assumptions that there is.  But the technology that Corteva brings from a digital standpoint. will help to make sure that we are tracking the behaviors that the farmers are going to change. The partnership with Indego brings capabilities that they have in terms of measuring the actual impact and get all this validated with third-party bodies in there. So, we're really excited about the possibilities and creating more of opportunities for a farmer customers to get additional revenue. Too early to comment on what the financial impact of that is, given the infancy of where we are trend.
Operator: And our last question will come from Alexi Yefremov with KeyBanc Capital Markets.
Paul Sondron : Hi, this is Paul Sondron (ph) for Alexi just one quick one. What is your current outlook for seed royalties in 2022? Thanks.
Rajan Gajaria : Yes. Hi, this is Rajan. I think taking a step back, we'll talk about our seed neutrality journey, we will continue to be on track for that. The seed royalty reduction in 2022 will be in the similar ballpark to what we have done in 2021. Give or take around $50 million. But the important thing is that, all the element in-play for us to continue to work with the royalty reduction. Are there of which is the Enlist adoption that we have been talking about is a big part of it. So that's how we look at royalties for 2022.
Operator: And now I will conclude today's question-and-answer session. Mr. Rudolph, at this time, I'll turn the call back to you for any additional or closing remarks.
Jeff Rudolph : Thank you. We appreciate everyone joining the call today. And again, thank you for your interest in Corteva. Have a great and safe day. Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.